Operator: Greetings and welcome to the RLJ Lodging Trust Second Quarter Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Nikki Sacks with ICR. Thank you. Ms. Sacks, you may now begin.
Nikki Sacks: Thank you, operator. Welcome to RLJ's second quarter earnings call. On today's call, Tom Baltimore, the company's President and Chief Executive Officer will discuss key operational highlights for the quarter. Leslie Hale, Treasurer and Chief Financial Officer, will discuss the company's financial results. Forward-looking statements made on this call are subject to numerous risks and uncertainties that may cause the company's actual results to differ materially from what has been communicated. Factors that may impact the results of the company can be found in the company's 10-K and other reports filed with the SEC. The company undertakes no obligation to update forward-looking statements. Also, as we discuss certain non-GAAP measures, it may be helpful to review the reconciliations to GAAP located in our press release from last night. I will now turn the call over to Tom.
Tom Baltimore: Thank you, Nikki. Good morning, everyone and welcome to our 2015 second quarter earnings call. I am very pleased with our performance for the second quarter, as we not only delivered solid operating results, but we also successfully executed multiple capital allocations strategies. This quarter we aggressively recycled capital through our share buyback program and subsequent to the quarter end, acquired two newly constructed hotels in excellent markets. Our solid performance exemplifies our three guiding principles, which are operational excellence, prudent capital allocation and proactive balance sheet management. This disciplined approach has yielded total returns for our shareholders of nearly 100% over the four years since our IPO. Our portfolio generated solid RevPAR growth of 5% this quarter. These results demonstrate the benefits of our portfolio strategy with excellent performance in the majority of our markets, which offset softness in the New York and Houston market. Excluding these two markets, our portfolio generated RevPAR growth of 8.6%. While we expect operating results from our Houston and New York properties to remain constrained through year-end, we are confident that our diverse portfolio is well positioned to benefit both from the positive trends across the US economy and in the lodging sector. Overall, we are encouraged by the modestly expanding US economy, which rebounded in the second quarter following a soft patch in the first quarter stemming from severe winter weather and a stronger dollar. We are optimistic about the macro outlook given the recent trends of several key metrics, including the labor and housing markets as well as consumer confidence and spending. This positive economic climate continues to translate into a favorable supply and demand environment. Year-to-date lodging demand has outpaced supply by 233 basis points. This enduring supply and demand gap has translated into record occupancy levels for the lodging industry that should help further drive rate expansion. While we recognize that there has been a modest uptick in supply in some market, we still expect demand will outpace supply over the next few years. In general, we remain optimistic about lodging fundamentals. Our second quarter results illustrated the strength and resiliency of our portfolio and validated our ongoing expansion strategy. We saw outstanding growth from our West Coast and South Florida markets. Some of our core markets such as Chicago and Austin also continued to produce strong return. As I mentioned earlier, excluding our New York and Houston assets, our portfolio generated an 8.6% RevPAR growth, which compares favorably to the Smith Travel research national average of 7.2%, when excluding those same two markets. Using a different benchmark, our Marriott branded focused [ph] service hotel also outperformed Marriott’s growth of 6.1% from same segment. Our West Coast expansion over the past 12 months continues to yield tremendous returns. In Northern California, where five of our recently acquired Hyatt hotels were located, RevPAR grew 16.8%. And in Portland, we also saw double-digit RevPAR growth of 12.5%. West Coast markets continue to benefit from strong corporate activity, primarily led by the technology sector. Looking ahead, several catalysts are expected to continue to generate robust growth for our West Coast properties in the second half of the year. These include recently completed renovation project at several of our hotels, both in Northern and Southern California, the addition of our newly acquired Homewood Suites property in the Seattle market and the upcoming opening of our Courtyard in Downtown San Francisco just three block from Union Square. Our diversified asset base delivered solid performance across our portfolio with 10 of our markets generating double-digit RevPAR growth in the quarter. The top performing markets this quarter were New Orleans, Northern California, Atlanta, Tampa, Portland and Chicago, which generated impressive growth rates of 19.4%, 16.8%, 15.8%, 15.2%, 12.5%, and 12.4% respectively. Other markets with impressive growth include Charleston, South Florida and Dallas with RevPAR growth of 12.9%, 10.2% and 10% respectively. Moving into our top 6 markets. Our Chicago portfolio benefited from a great city-wide calendar that created compression out to our Midway campus and beyond. The strong demand enabled our Chicago properties to realize a 12.4% increase in RevPAR. Over the five-day Microsoft city-wide convention in Chicago, our downtown in Midway Hotels RevPAR increased approximately 94%, and for the quarter, our downtown property grew RevPAR approximately 21%. Looking ahead, we believe our Chicago portfolio should continue to benefit from steady city-wide and corporate transient demand trends in the second half of the year. Our hotels in Austin grew RevPAR an impressive 10.6% in the quarter as market benefited from a recently opened Convention Center hotel. Special events such as X-Games and Moto GP boosted business at our Austin South properties, while our properties in North Austin realized strong demand from technology and pharmaceutical company. We expect a busy convention calendar and strong corporate demand will continue to enhance Austin’s economic base and absorb incoming supply. Following a quarter of challenging comps, Denver’s RevPAR grew 7.3% in the second quarter. Our hotel saw improving corporate demand, strong leisure activity during the weekends and a positive city-wide calendar. We anticipate our Denver hotels will continue to produce solid RevPAR growth through the remainder of the year. In DC, our hotels grew RevPAR by 6.5%. We were very pleased by the exceptionally strong performance at our CBD hotel. These assets generated RevPAR growth of 10.6%, supported by a strong city-wide calendar and positive leisure demand. Our non-CBD hotels offset challenging comps by capturing alternative extended stay and special event business. We remain very bullish on the DC market, given the robust city-wide outlook in 2016, with pace up 20% and positive corporate and leisure transient demand trend. Additionally, we believe our newly acquired Hyatt Place DC’s bulls-eye location on K Street is well positioned to benefit from these positive trend. While softness in the oil and gas remains a headline issue for the Houston market, the impact from the decline in oil and gas related demand appears to be waning out our property. During the quarter, other factors including flooding associated with several severe storms, challenging city-wide comps and our yield management strategy to preserve weight integrity contributed to the 11.2% decline in RevPAR. While we anticipate continued demand volatility for the remainder of the year, our management teams are aggressively pursuing cost containment strategies to maintain margins. Overall, we remain positive on our long-term outlook for the Houston market. As previously discussed, performance at our New York hotels was tempered by supply growth, resulting in a 5.1% RevPAR decline for the second quarter. Additionally, we saw international demand as a percentage of our overall New York demand decline as a result of the strong dollar. We expect our RevPAR growth in New York will remain muted for the rest of the year as new supplies absorbed into the market, we remain positive on the market for long-term fundamentals. Our portfolio’s performance for the quarter illustrated our ability to benefit from a broad-based recovery. By strategically expanding our portfolio into markets with strong growth metrics, we expect our portfolio to continue to maintain a solid growth path over the next few years. As I mentioned on our last call, we had approximately a $150 million to $200 million of assets under contract or letter of intent. I am proud of our recently completed off-market transactions in light of a highly competitive environment. We acquired the newly opened Hyatt Place in Downtown DC and Homewood Suites in the Seattle market for approximately $106 million highlighting our ability to source accretive, off-market transactions in key markets. We purchased the recently opened Hyatt Place in DC for $68 million at a 7.1% cap rate based on 2016 projections. Additionally, we entered the high growth Seattle market with our Homewood Suites Seattle/Lynnwood acquisition for $37.9 million at a projected full-year cap rate of 8%. In aggregate, these two hotels will be immediately accretive to our portfolio with their projected 2016 RevPAR that is 27% higher than the Company’s 2014 reported RevPAR. Our acquisition pipeline remains active as we have another West Coast asset under contract in the Silicon Valley sub-market for $70 million that is expected to close in the second half of the year after completing a debt assumption. As we look to grow, we will continue to focus on sourcing off-market deals and high growth markets while maintaining our rigorous underwriting to ensure that all acquisitions create long-term shareholder value. In aggregate, since our IPO, we have bought 29 hotels for approximately $1.2 billion. These hotels have an average RevPAR of approximately $149 which represents 25% premium over our reported 2014 year-end RevPAR. We also continued to successfully dispose of non-core assets, further enhancing our portfolio of composition. During the quarter, we sold two non-core assets in Indiana for approximately $8.2 million. In aggregate, we now have sold 41 hotels for approximately $380 million with an average RevPAR of approximately $72 or approximately 40% discount to our 2014 year-end reported RevPAR. We continue to evaluate our portfolio for accretive disposition opportunities and we’ll provide further update if and when asset sales materialize. In the quarter, we demonstrated our ability to utilize effective capital allocation strategies to create shareholder value as evidenced by our aggressive buyback of the shares in addition to our recent acquisition. This quarter, we repurchased approximately 2 million shares for total amount of approximately $60 million providing strong returns as a core strategy, which we have consistently demonstrated since our IPO. We have grown our dividend over 20% per year and paid out $3.64 per share or $445 million in total. Our aggressive share buyback highlights our belief in the value of our portfolio and is an important tool to return capital that we will continue to implement if conditions warrant. We expect solid broad-based RevPAR growth will continue across a majority of our markets for the remainder of the year. We are updating our outlook to include our recent acquisitions and disposition activity as well as the operating trends for our Houston and New York City hotels. We are modifying our full-year 2015 pro forma RevPAR growth of 4.5% to 5.5% and hotel EBITDA guidance to $400 million to $415 million. Our EBITDA margin guidance remains unchanged. While we are seeing isolated softness in the third quarter as well as facing tough comps as our third quarter RevPAR growth last year was 9.6%. We believe that the weakness was market specific and not a sector shift. Looking ahead, we believe that the lodging cycle has several years remaining and that the current and pending renovations of our recent acquisitions will provide an added tailwind and lift for our portfolio in 2016 and 2017. I will now pass the call over to Leslie, who will provide some additional information on our financial performance for the quarter.
Leslie Hale: Thanks Tom. As mentioned earlier, our diversified portfolio delivered another quarter of solid operating results. Our pro forma consolidated hotel EBITDA increased $8.2 million to $116.5 million this quarter. Our aggressive asset management approach enabled us to increase our hotel EBITDA by 7.6% over the prior year despite continued margin pressure. During the quarter, we generated strong pro forma hotel EBITDA margins of 39.3%. We increased our margins by 32 basis points year-over-year, despite continued constraints from headwinds, which is property taxes which have increased in many of our major markets. This quarter, both Houston and New York had a significant impact on our margins. Excluding these two markets, our margins would have expanded by an incremental 103 basis points for a total increase of 135 basis points. With regards to corporate results, our adjusted EBITDA for the quarter increased $2.8 million to $110.5 million, which is 2.6% increase over the same period last year. For the quarter, adjusted FFO increased 4.7% to $98.1 million or $0.74 on a per share basis. Now turning to our capital markets activity, during the quarter, we paid off a second tranche of our 2015 debt maturities for a total of approximately $26.4 million and unencumbered core assets using cash on hand. Subsequent to the quarter end, we paid off the remaining 2015 maturities for approximately $10 million. We have now retired all of our near-term debt maturities and currently have a total of 113 unencumbered assets, which represents more than 80% of our hotel EBITDA. We ended the second quarter with $1.4 billion of total debt outstanding. During the quarter, we executed several hedging instrument for some of our floating rate debt. As a result, at quarter end, 91% of our outstanding debt was fixed. For the quarter, our net debt to EBITDA ratio was three times, our fixed coverage charge ratio was 5.8 times and we have no debt maturing until 2017. Our disciplined approach to balance sheet management continues to yield an exceptional debt profile. We will continue to maintain a conservative capital structure that provides us with flexibility and a solid foundation for continued growth. In addition to our debt profile, the strength of our balance sheet has reinforced by our significant liquidity. We ended the quarter with an unrestricted cash balance of $264 million and $300 million credit facility remains undrawn. Consistent with our commentary from last quarter, in early July, we drew down the entire $150 million seven-year term loans that were originated at the end of 2014. We also drew the remaining $7 million available on our property level loan associated with our downtown area of Louisville assets. Both of these transactions, along with our recent asset sales bolstered our liquidity position. With regards to capital deployment, we executed several accretive transactions. During the quarter, we bought back approximately 2 million shares for $59.8 million at an average price per share of just under $30. Additionally, shortly after the quarter ended, we acquired two assets for total of approximately $106 million. We utilized cash on hand to fund these transactions. We also utilized our strong liquidity position to continue to provide our shareholders with meaningful returns via our cash dividend. In the second quarter, we maintained our distribution of $0.33 per share, which equates to $1.32 per share on an annualized basis; this is 27% increase over the prior year. Additional capital outlays this quarter include the funding of our renovation program. Year-to-date, we have deployed approximately one-third of our $85 million capital plan for 2015. We’re continuing to make progress on our two pending conversions in Houston and San Francisco. Both of which are on track to open by the end of the third quarter. Our expectation for renovation related disruption for the full year continues to be 50 to 70 basis points and it’s already accounted for in our guidance. Now, in light of our recent acquisitions and dispositions, as well as the continued softness in our New York and Houston market, we have updated our RevPAR and pro forma consolidated hotel EBITDA guidance. Our updated guidance reflects the addition of Hyatt Place, DC and the Homewood Suites, Lynnwood as well as the disposition of Fairfield Inn Valparaiso and the Residence Inn South Bend. We would like to highlight the following. First, we’ve lowered our pro forma RevPAR guidance to 4.5% to 5.5%. Secondly, we adjusted our consolidated hotel EBITDA guidance to $400 million to $415 million, with the net adjustment at the midpoint largely reflecting the softness in our New York and Houston markets. And lastly, our margin guidance remains unchanged at 36% to 37%. Thank you and this concludes our remarks. We will now open the lines for Q&A. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Ian Wiseman with Credit Suisse. Please go ahead with your question.
Unidentified Analyst: This is actually Chris for Ian. Just wanted to talk about the RevPAR growth was obviously very strong outside of Houston and New York but just wanted to quantify how much the RevPAR missed and the revised guidance has to do with the revised outlook for New York and Houston versus the rest of the portfolio and then give us a sense of where you think those markets are heading the rest of 2015 and into ‘16?
Tom Baltimore: If you step back and look at it, as Leslie said in her remarks, really the shortfall is largely driven by Houston and New York. I’d say that New York is probably accounting for 50% to 60% of it, plus or minus, Houston is probably 20% to 30% of it. And again, if you take out New York and Houston, we were up about 8.6%. The reality of that is, our occupancy was slightly down in that scenario, so rate was up about 9.3%. So again, we’re seeing broadening across our portfolio. We’re not seeing any widespread concern or any softening across the broader portfolio and I think both in New York and Houston are isolated, if you look at New York it’s largely a supply issue that we’ve been talking about and our peers have been talking about. Occupancies are still high in New York. We’re still running - the market is still running probably 84% to 85%. I believe we ran probably 97%. So, the supply is getting absorbed but the fundamental issue is that we really don’t have any pricing power in the market. That’s clearly I believe is getting better. We saw in the third quarter, as we began the third quarter in July, for example in New York, we were up about 3.5% in New York, we were up about 6% across the portfolio. So, I do think on a sequential basis, New York is getting better, but again, we still are probably a little more conservative in some of our peers and see it really being sort of flat to slightly negative for the year and as a result that’s again accounting for 50%, 60% of the guidance sort of shortfall there. As you look at Houston, Houston has again just been a phenomenal market for us if you think about it over the last - for the last four years. We’ve been up in 2011 just sort of the RLJ portfolio grew up 9%. 2012, we were up north of 8%. 2013, we were up nearly 16% in RevPAR, 2014, again up about 8%. So, Houston has been a phenomenal market, it’s been clearly - the State of Texas and Houston and Austin, in particular have been clearly led out of the recovery from a job growth standpoint. So, we love the market long-term. Houston only accounts for about 6% of our EBITDA. So, I want to make sure listeners understand that it is a - it’s a small part and again having such a diverse portfolio gives us a lot of flexibility. It’s only 6% of our EBITDA. Houston, there are few facts that I’d like to just point out for listeners as well. We had a very tough comp. So, we were up 12.3% in the second quarter in 2014. We did see a pretty significant reduction in the oil and gas demand in the second quarter. It’s about $551,000 of revenue, down about 24.2% for the previous year. It’s about 338 basis points of impact of RevPAR. So, that was clearly a big issue for the quarter. We also had a major citywide last year in Houston in the second quarter. Microsoft, which obviously was in Chicago this year, which we benefited from but last year, Microsoft was in Houston and we had huge performance there. We were up about $353,000 in revenue, which accounted for nearly 200 basis points in RevPAR this year. So, those together again just counting for really about 6% of the shortfall and then again, as Leslie mentioned, there were a number of storms and floods that clearly impacted the quarter as well. We remain bullish, we are seeing Houston really bottom out. We think second quarter was a significant part of that bottoming out process. Third quarter will remain challenged for us and it’s not really because of the demand issue in Houston, it’s more about that we’re going to renovate which we’re already scheduled, we’re going to renovate four of our nine hotels in Houston during the third quarter. So, that impact is about 600 basis of RevPAR in the quarter, for the quarter Houston-only and that only has about 37 basis points across the portfolio for third quarter. Again, we expect that’s going to bode well for us in fourth quarter, which we think will be - which will be flat to positive probably low-single digits in Houston in the fourth quarter, but again really preparing us for 2016 and beyond. We think 2016, things begin to look brighter in Houston. We also have the benefit of the final four being in Houston and again, as you look forward to 2017, we have the Super Bowl in the first quarter of 2017 for Houston. So, a lot of meat there, but I wanted to make sure that listeners got it in perspective that our portfolio is very diverse, we saw broad great performance across the vast majority of our markets with a little bit of softening in Houston and New York and I think it’s isolated and really explainable.
Unidentified Analyst: That’s a really great color. Switching gears a little bit and we saw this morning that RLJ is now trading at roughly 20% discount to our NAVs and then you’ve always been an acquirer of both hotels and then your own stock over the last 90 days, but with the stock now at $27.5 or so versus $30 you were paying for repurchases in the last quarter, just wanted to get your sense of like how - what’s your appetite for each going forward assets that you already locked up in new acquisition for 3Q and just if you could talk a little bit about that.
Tom Baltimore: I think we’ve demonstrated again time and time that return of capitals is an important component of the total shareholder returns. We’ve paid out a dividend of $2.64, about $445 million since the IPO. We were aggressively buying back our last quarter 2 million shares at about $60 million. Again, you will see us aggressively and I can’t emphasize this enough at these pricing levels, we will and we’ve got additional capacity on our authorized repurchase from our board, you will see us aggressively buying back our stock. Your valuation has at 20% discount NAV, we see it even greater than that. So, we think obviously the highest and best use of our capital right now would be clearly, we are elevating our buyback and having said that, we will continue to look opportunistically for deals. We work hard buying deals off the market, we got one right now under contract in Silicon Valley. We think it’s probably a 7.5% cap on trailing. That’s probably 8% cap in the first year. Again, there is a debt assumption component. So, that will close later in the year. We’ll continue to evaluate, we don’t think they’re mutually exclusive. I would say we’d probably be more weighted to the buyback right now and this is where I think we really separate ourselves from many of our peers. We have a pristine balance sheet. Net debt to EBITDA of three times as well as you pointed out 113 assets that are unencumbered, $270 million plus or minus in cash and undrawn credit facility. The other point I’d like to make and remind listeners is that we have consistently - we’ve averaged about 22% of free cash flow over the last four years. So, that was about $72 million last year, $63 million the year before, again gives us further flexibility. So, we will not hesitate to buyback our stock and we think that’s a good use to create value for shareholders.
Unidentified Analyst: Is it feasible that you may be ramp up your disposition and work for the $200 million you have authorized for repurchases and maybe even increase it or am I getting ahead of it?
Tom Baltimore: It’s a fair point. We’ll watch market conditions and to the extent that we continue to see our stock so undervalued. We will not hesitate to connect with our board and ask them to consider raising it to the extent it makes sense. We are actively recycling capital and selling hotels again, 41 hotels now for $280 million. We have another 14, 15 assets at various stages. Dispositions always run their course whatever that’s going to be. I’d see right now you’ll see probably more single assets in small portfolios than you would in large portfolios, but again, we’ll continue to evaluate and there is no real pressure for us to sell assets because again given the strength of the balance sheet.
Unidentified Analyst: Great. Thank you very much, Tom.
Operator: Thank you. Our next question comes from the line of Austin Wurschmidt with KeyBanc. Please go ahead with your question.
Austin Wurschmidt: Hey, good morning.
Tom Baltimore: Good morning, Austin.
Austin Wurschmidt: Going back a little bit to the buybacks, I’m just curious, I know you mentioned trading at greater than 20% discount to NAV, but could you just give us your thoughts and sort of what metrics you are looking at and what type of threshold you are looking at in terms of the stock versus NAV perhaps?
Tom Baltimore: As we said before, Austin, I mean if you look before, I think consensus NAV has been 32% to 33%, 33.5% perhaps pulled in a little bit given the - certainly what’s happen to the sector recently but as we’ve said historically, if our stock is trading at our 10% to 15% from consensus, and when we were buying it back, it goes to 30% and now we believe conservatively, we run north of 20%, there is no better investment than really investing back into the portfolio and there are a lot of catalyst as you look out to 16 in our portfolio. Again, the 15 assets that we bought last year, ten of those the high portfolio, that high portfolio is up 13% in RevPAR just in second quarter alone. We’re still going to be renovating two of those assets. So, that’s a huge tailwind. We’re going to renovate our Portland asset that we bought last year. Again, that asset was up - that market was up 12% and we see that as a tailwind. We’re renovating our likely key asset right now, investing $11 million in that asset. DoubleTree Grand asset that we bought in Key West, we’re putting $7 million in that asset and that market is up high-single digit. So, we got our San Francisco courtyard that will be all in for under $350,000 at Key. We got a diverse portfolio we’ve consistently outperformed. The market is not willing to give us credit for, we’ll gladly back up the truck and buyback our stock and we think that’s going to create significant value for shareholders. So, have a lot of passion around the issue and there is no doubt that we’ve seen it. I think we’ve demonstrated top tier return since we’ve been public and rest-assured, that’s not going to change.
Austin Wurschmidt: Yeah, I mean - I think that makes a lot of sense, but then, how would you then sort of connect that then with given - so, how attractive of a discount it is today, how would you connect that with your thoughts previously about being a net buyer in 2015?
Tom Baltimore: Obviously, none of us sort of expected what’s happened to the lodging sector over the last couple of weeks and the reality, I don’t think they’re mutually exclusive. I think there are some deals that we’ll find and I think the two that we bought, this Hyatt Place in Downtown DC is Bullseye Real Estate, K Street, it’s going to have a RevPAR we think in the first year of $180, attractive cap rate. We’re - long-term, we’re clearly in the business of continuing to build and grow our portfolio. So there is a dislocation that’s occurring today in the stock price and we are going to seize that moment. When things improve on that respect, you will see us back in the game and our core focus of continuing to improve the portfolio and buy assets that are compliant. The Silicon Valley asset is another, it will be of high RevPAR, $180 to $190, again very compliant and with our stated objectives to continue to expand out there. So again, we don’t think they are mutually exclusive. I think we’ve demonstrated time and time again that we are top tier capital allocator. And we will be thoughtful, we will be disciplined and we will seek our opportunities to create value, but we are going to create shareholder value.
Austin Wurschmidt: And then, just looking at the private market, I mean, have you seen any change in the interest level from PE firms or other private capital sources that are looking to put money to work in the lodging sector?
Tom Baltimore: Clearly I think it’s a competitive market today in acquisitions, particularly in the coastal markets in out west is a great example of that. Obviously the debt markets are still attractive and they are a threat and I know each company each of the REITs will have to decide for themselves how active they are going to be. We work really hard to find deals off market limited bid. We really try to stay away from the auctions. Do I see a lot of take private activity right now? Not really. But again, I think this dislocation is really occurred here over the last week or two and it’s kind of its earnings season. I think it’s a huge overreaction, but we are going to keep our head down. We are going to keep focused on executing. We see our portfolio broadening and strengthening and I think no greater indication of that. Again, look at our portfolio and take New York and Houston out of it. I mean they represent about 16% of our EBITDA, but we were up 8.6% and we were up 9.3% in the rate over 112 hotels across 20 markets. So I think the end of the cycle in that talk is a bit premature.
Operator: Thank you. Our next question comes from the line of Wes Golladay with RBC. Please go ahead with your questions.
Wes Golladay: Hello, everyone. Looking at the guidance, just for the industry in general, everyone seems to be cautious on the third quarter with an acceleration in the fourth quarter. Already through July and we 79% from Smith Travel this morning come out. So what have you guys seen in August and September from an industry perspective? What should we expect?
Tom Baltimore: Wes, it’s always good to talk with you. I think part of it and I will talk a bit about our portfolio. Third quarter was an extraordinarily exceptional quarter in 2014. We were up 9.6% and if you look at - Houston was up 10.4%, DC was up nearly 11%, Denver up a 11%, our Austin portfolio up 14%, Chicago was up 9%. Our other markets accounting for about 79 hotels in the same quarter last year were up north of 11%. So those make for really tough comps, so I do think you are going to see the softening or the caution is probably is appropriate. I think July is turning out to be stronger certainly than we’ve slightly thought and clearly for the industry, but when you look at August, and I think all of the trends right now in August and again given some of the tough comps in August, that there will be a pullback in August for the industry. If you look at September, it also looks to be a little more complicated, because of two Jewish holidays that were split last year between September and October, but this year they are going to be in September. And you’ve got UNGA that again was in September last year, now it’s going to be split between September and October. And then you’ve got the extra week in the summer which doesn’t really bode well for some of the large gateway cities. So I do think the caution is somewhat warranted. I do think that fourth quarter is going to be strong and I think it’s setting up for - to hopefully be a stronger quarter than perhaps we all believe today. But the industry in where we are, we still believe we’re in fifth or sixth inning. Again we are seeing the broadening across our portfolio. We are very optimistic about 2016 and 2017. For our own portfolio and for the industry, we think supply is still largely muted. We are not in any point really of eclipsing supply eclipsing demand, perhaps you are looking at 17, 18, but I think the recent reaction is really an overreaction in my humble opinion.
Wes Golladay: [indiscernible] Is there what a two day lock up if we can buy stock after the earnings, is that what we are looking at?
Tom Baltimore: Well, I will check with the lawyers on that, Wes, I am not sure how long that lock up is, but rest assured at this level and given our liquidity and given the dislocation in the absurdity is the best word I can think of our price right now. We will be aggressively buying back our stock.
Wes Golladay: Okay, and then one just to look at Houston a little bit closer, are you seeing any specific trends where maybe you are extended stay hotels were doing a little worse than your peer upscale transient-focused hotels. Anything there or within maybe submarket of Houston and will you expect to see any FEMA business going forward?
Tom Baltimore: We saw some FEMA business, clearly that was certainly helpful. I think the issue, Wes, for us in the second quarter in Houston, but we made the decision to work hard to preserve rate. And if you look, we held rate and we got hammered on occupancy. We think as we go into the corporate negotiated rate season, the thesis is that we should perform better. We will see how that unfolds, but really we saw, the suburban market got hit particularly hard, but even the Galleria and downtown markets were also affected. The Woodlands market seem to hold up better, but again we really think that second quarter was the bottoming. We will see - I want to make sure the listeners hear me on this. We will see softening in the third quarter in Houston, but that’s really driven by the fact that four of our nine hotels will be under renovation. So we are expecting about 600 basis points of disruption in the quarter related to Houston. Again, that’s about 37 basis points for the quarter. So we renovate 20, 25 hotels a year. We are very skilled at it. We’ve got a very capable team. This was always part of the original plan and we think this is going to bode well for the portfolio in 2016 and 2017, particularly in Houston given the special events and we are hopeful that oil is going to settle and we are going to see - begin a brighter future in 2016, 2017. It has been an exceptionally strong market for us the last four years.
Wes Golladay: Okay, thanks a lot.
Operator: Our next question comes from the line of Ryan Meliker with Canaccord Genuity. Please go ahead with your questions.
Ryan Meliker: Hey, good morning guys. Most of my questions have been answered, but Tom I appreciate all the color that you’ve provided on how you are looking at valuation and the utilization of the buyback. Obviously the stock has fallen off along with the sector. I agree it’s been an overreaction, but when you see the stock down, close to 15% this earning season and your full year EBITDA guidance cut off less than 2%, it’s kind of staggering. And I guess at what point or how long does it take you to reassess what the strategy of the company and the board is if sentiment doesn’t turn more positive in the next three or six months and you continue to trade at this type of exorbitant discount?
Tom Baltimore: It’s a great question, Ryan. I think we will continue to watch the market carefully. I think as I said earlier, we go out of our way to follow our three guiding principles, operational excellence from quarter to quarter to do our best to make our numbers, to make sure we are being a prudent capital allocator. It’s not lost on us. Again based on what some of your peers said and what you’ve said as well, you look at our discount NAV clearly in the 20% range we think more and so we think the highest and best use of capital right now is going to be certainly to buyback of stock. We will watch, we will talk with our board. If we think that that condition remains, we will ask our board to consider increasing that authorization. Again, the beauty and I think the real advantage to RLJ story is the strength of our balance sheet. Leslie Hale and her team have just done an exceptional job. When you look at net debt to EBITDA in low 3s, look at all the levers available to us that most of our peers don’t have and undrawn credit facility, significant liquidity, the amount of free cash flow that we generate every year given the strength the strategy. So we are not happy with where the stock trades today and where the sector trades, but we’ve got the levers available to take advantage of it and we will aggressively look to implement those levers and most importantly to create shareholder value which we have consistently done over the last four years.
Ryan Meliker: Thanks, Tom. that’s really helpful. And then just one follow-up. You mentioned some pockets of softness in 3Q and across the industry. I am assuming you are mostly referring to Houston and New York and you talked about some of the capital plans that you have. Do you have the opportunity to accelerate any CapEx plans in some of those softer markets of maybe you won’t see necessarily the EBIT disruption as opposed to doing it a year later?
Tom Baltimore: It’s a great question. We are constantly looking at those opportunities, our design and construction team and our asset management team. Houston is one where obviously the softness there was certainly been a disappointment, but it also provides an opportunity now to make sure that we get these four projects done. We will get them done in third quarter. Clearly that will be soft in third quarter largely driven by those renovations. DC is another hotel that will be soft in third quarter, again that’s going to be largely driven at a huge third quarter last year. We do have a couple of renovation projects there as well. We are looking at a strong fourth quarter in DC and just a bullish 2016 and 2017. We think group pace is up 20% already for ‘16 and if you look at ‘17, there are already 500,000 room nights on the books today that compares favorably to the all-time high, which is 2005, I believe, at about 590,000. So very bullish as we look out there. In terms of other renovation, given the time that's required in the - some of the FF&E delays and port delays, it's sort of hard to ramp up in the year for the year, but again, we work hard to find and adjust and given the size of our portfolio, there are always going to be 20, 25 assets a year that we’re going to be renovating.
Operator: Thank you. And our next question comes from the line of Lukas Hartwich with Green Street Advisors. Please go ahead with your questions.
Lukas Hartwich: Can you guys talk a little bit more about the diverging performance at your focused service and full-service hotels? I'm looking at page 15 of the press release.
Tom Baltimore: I don't have that in front of me, Leslie is pulling it up, and maybe you can be a little more specific about…
Lukas Hartwich: Sure, yes. So I just noticed that focused service, you got 99 hotels and RevPAR was up a little over 6% and then I look at your compact full-service and full-service, which is 21 assets, up 2% on average, I’d say, a little over 2%.
Tom Baltimore: I think Lukas, we’ll drill into it and make sure that we answer the question in a little more detail for you kind of post call. I don't think there is anything to really read into that. Clearly, we've got more focused service hotels have spread over certainly many markets. We’re in 21 states today and certainly almost all the major cities. I think in some of the compact full-service that can be sort of unique situations, if you take the DoubleTree Grand and Key West, we just bought it, we changed out the management company, we’re going to be renovating it, which we've started, obviously we’ve got the Embassy suites in Irvine, again just took over, change management, we’re going to be renovating that hotel as well. So I do think that you've got pockets like that and stories that underline it and then if you look back to some of those underlying markets, Austin has been incredibly strong there, but Denver, there has been a little bit more supply in some of the compact full-service markets and those submarkets that were affected by it, but I don't think there is anything alarming that stands out in it.
Lukas Hartwich: That's really helpful. And then the other question I had, clearly ADR growth is very strong during the quarter and it looks like occupancy, you kind of pushed rate at the expense of occupancy, I'm just curious, are the operators kind of explicitly trying to do that or is there something else going on in terms of pricing strategies?
Tom Baltimore: Lukas, we are aggressively pushing rate. It is, we preach it every day, we talk to our management companies and our partners there and again I think if you look at our portfolio, you'll notice in comparison against many of our peers, we've seen a slight dip in occupancy and then we continue to see outsized performance on the rate side. And again the example I used earlier, take New York and Houston out of the picture, we’re up 8.6%, but we're up 9.3% in average daily rate over 112 hotels, a lot of that’s by design. We are pushing out the lower rated business, we are pushing, trying to push out the corporate negotiated rate business and really focused on the transient site and to push rate. And part of this, even with the decline in EBITDA and a slight decline obviously in the top line, we’re maintaining margins, we can do that, given the strength of the rate growth that we’re seeing in our portfolio.
Operator: Thank you. And our next question comes from the line of Anthony Powell with Barclays. Please go ahead with your question.
Anthony Powell: Just a bigger picture question on the industry, so it seems like overall, most of the RevPAR performances are slightly lower than expected this quarter and you’re very bullish on the forward outlook as are most companies, but what makes you confident that there won't be further, I guess, underperformance in future quarters, what makes you confident that you're looking at the industry and then in kind of the correct and the best way, given kind of the overall light softness that we saw in 2Q?
Tom Baltimore: As I said earlier, I think part of it is that we, the industry had such a strong quarter and if you look at sort of third quarter as an example, third quarter last year, the industry was so strong, it was up 9.2% and I think Star, we were up 9.6%, side some of the others, almost most of our major markets were up near double digits or more than double digit on RevPAR. So to some extent, we’re a victim of our own collective success. We've done so well. Those comps are tough, there are some unique things about third quarter that I think may get a little bit tougher, we talked about New York, we talked about some of the tough comps in other specifics cities. So as you step back and look at I think on the demand side right now, demand is still outpacing supply, I think the long - last 12 months average is about 330 basis points. Year-to-date, it's about 233 basis. That is again well in excess of the long-term historical average, but for a couple of markets where you are seeing increased supply, clearly New York, the situation in Houston and a few other markets, you’re still seeing really attractive fundamentals. Supply is probably not likely going to eclipse demand until 2017, 2018. We're still seeing very slow [ph], corporate profits are still growing, businesses continue to invest, consumer confidence is improving, housing is improving and we've had somewhat of a muted recovery. We’ve averaged about 2.2% and this recovery, the normal would certainly be 150, perhaps 200 basis points above that. So it's a little bit, not too hot, not too cold and I think as a result of that, you can make, I think a legitimate case that this cycle will run into extra innings, absent some sort of shock. The last two cycles were shortened, the Great Recession, and of course 9/11. So getting back to an elongated cycle here I think is achievable. We’ll have to watch it carefully, I think absent some sort of shock, I think the business is well positioned for future growth.
Anthony Powell: Got it. And so one I guess follow-up, I guess housekeeping on the EBITDA guidance, does the EBITDA guidance include the full-year impact of the two acquisitions or is it only the period you owned the hotels for?
Leslie Hale: It includes the full-year impact, but just be mindful that obviously DC just opened up late second quarter and that Seattle is still ramping up, because it opened up late second quarter 2014. So it's a relatively small contribution, just a couple of million dollars.
Operator: Thank you. And our next question comes from the line of Shaun Kelley with Bank of America. Please go ahead with your question.
Shaun Kelley: Tom, you've been super clear on a lot of fundamental issues. I really just have one kind of one follow-up on Houston, which is - you talked a lot about the renovation activated obviously is going to impact your portfolio, you talked about the demand side and possibly some stabilization there, which is interesting. The one thing that you didn't mention too much about was supply and I was just wondering if you could help us break that down a little bit because Houston does sort - it’s one of the bigger supply markets out there, so a, do you think that's impacting your portfolio at all, and, b, do you have any view on how much of that supply is targeted at sort of RLJ’s either submarkets or type of hotels, even select serve versus full serve?
Tom Baltimore: It's a fair question, Shaun. I would say, look, any supply is clearly going to impact the market and clearly impact us. I guess the analogy that I would use is think about Austin and we've got the new convention center, thousand room hotel downtown. We all thought that was going to be the demise and end of Austin. I think you will know we were up 10.6% in Austin this quarter. Houston is a dynamic wonderful city, one of the great cities in the country. They all absorb that supply, they've got a new convention center hotel that’s opening. What we’re finding in many cases that these convention center hotels end up being, they induce a lot of demand internally, given their capacity, but they also help position the location to be competitive for future business. You are seeing that in the Marquis here in DC, which everyone said that was going to be the demise of DC. I think that hotel in its first year ran about 80% occupancy. If you look in Austin, there are going to be choppy periods, but already the supply is getting absorbed and I think it's helping to position that market long-term. I would draw the same correlation to Houston. Yes, there is supply that is coming. It’s largely a demand problem today. The supply we believe will serve as a catalyst and position for future conventions and clearly, you've got two huge special events that are coming next year, coming obviously in ‘16 with the final four and then you've got Super Bowl coming in early ‘17. So we’ll watch it, clearly could impact, could impact a quarter or two, but again I don't see the end of Houston by any stretch.
Operator: Thank you. This concludes today’s question-and-answer session. I would like to turn the floor back to Mr. Baltimore for closing remarks.
Tom Baltimore: Thanks. We appreciate the opportunity and look forward to talk with all of you again at the end of our third quarter call. Hope you have a great summer.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. You may disconnect your lines at this time and thank you for your participation.